Olivier Andriès: Good morning, everyone. Thank you for joining us to Safran's First Half 2024 call. I'm here with Pascal. Let us go straight to the key highlights for the quarter. We post today solid H1 results. EBIT margin reaching 15.1%. A substantial expansion of 230 basis points. We've not added Aircraft Interiors reaching operating breakeven. And a remarkable cash generation close to EUR 1.5 billion. Air traffic trends remained strong with at the end of h1 narrowbody at 113% of 2019 level and widebody getting close to their 2019 level at 6% below. It supports aftermarket demand across all our businesses. Civil aftermarket is up by close to 30%, boosted by services. LEAP deliveries were down in Q2 as we are facing persisting supply chain constraints. Our primary objective is to manage continuously supplier performance in order to meet our customer commitment. We confirm today our full year guidance with high confidence in EBIT guidance and some pressure on cash flow related to some customer advances. On M&A, we signed an agreement for the acquisition of a company named Preligens, a leader in artificial intelligence. Through this acquisition, we want to boost the adoption of AI within the group, thus optimizing our agility and efficiency. Besides with multiple application, it will represent a step change for our defense and space technology businesses and will also allow us to deploy, AI enabled digital inspection methods to support our focus on flight safety and quality. Closing is expected in Q3 2024. A quick overview of Safran's financial performance in H1 2024. Revenue grew by 19% year-on-year at EUR 13 billion. Recurring operating margin reached 15.1%, up 2.3 points, representing a 41% increase in recurring operating income 2x sales growth. Free cash flow was EUR 1.5 billion a good performance in an environment where cash is under some pressure. I'm very pleased with the performance of our teams in the current environment. Turning to Slide 5. Let me share with you some of our main business successes since we last spoke. On the 9th of July, I was honored to attend in French Guiana, the successful maiden flight of Ariane 6. This program enables Europe to maintain its sovereignty in space. During this first launch, the Vinci engine demonstrated its capacity to restart using the novel auxiliary propulsion unit. At Eurosatory 2024, we have announced the launch of Skyjacker counter-drone solutions. This technology was developed with Orolia, the company we have acquired in 2022. Skyjacker is an effective response to the growing threats both by drones in the battle space and at sensitive installation. Skyjacker is deployed for the Paris 2024 Olympics. On the commercial side, we enjoyed a very strong momentum, in particular, we signed helicopter engine support contracts with Chinese group GDAT, we have one of the largest air rescue organization in Europe named DRF Luftrettung in Germany. Our Makila 2 engine was also chosen by the German Federal Police Bundespolizei to power their new fleet of 38 Airbus H225 helicopters. Additionally, CFM announced last week at Farnborough, the largest ever LEAP-1A engine order from a lessor, Avolon, consisting of 150 LEAP-1A engines. Safran celebrated the entry into service of the Gulfstream G700 in May. We have many equipment on board and notably nacelle for the Pearl 700 engines. In July, we achieved a significant milestone with the certification by EASA of the LEAP-powered Airbus A321XLR. LEAP is the first engine certified on this aircraft, which will enter into service expected later this year. Last, we strengthened our footprint in Queretaro with new engine maintenance and production capacities, both dedicated to the LEAP engine. $80 million invested in the construction of the second MRO shop, which is scheduled to begin operation from 2026 onwards. Let me now hand over to Pascal for more details on H1 results.
Pascal Bantegnie: Thank you, Olivier. Good morning, everyone. I will be commenting today the adjusted accounts for which a bridge from consolidated statements is presented on Page 7. The adjustments remain the same either relating to FX or PPA. As usual, the numbers are called in the table represents a change in mark-to-market of instruments, hedging future cash flows recorded in financial income in H1 2024. It's a pure accounting entry, no cash impact. More color on FX on Slide 8. So the U.S. dollar remained strong against the euro in the first half, ending the month of June slightly below 1.07 while the average spot rate was unchanged compared to H1 2023 at 1.08. The stronger dollar means more euro sales. And as a reminder, on the full year basis, $0.01 change is about EUR 110 million impact on sales. Again, with the benefit of this favorable environment to further hedge our exposure and for 2024, our hedge book will deliver hedge rate of $1.12 per euro. Page 9 provides a summary of the income statement. One-off items amounted to a small EUR 24 million. It's EUR 10 million of impairments and capitalized R&D for one program in equipment to reflect some delays in the entry date in service. And we also booked a few expenses related to ongoing M&A transactions. Financial income, we benefited from a positive carry on cash invested compared to the cost of debt. Net generated EUR 84 million of financial interest. On the other hand, the stronger dollar, the negative impact on the revaluation of some positions in the balance sheet. Tax rate came at 23%, same as last year, and net income to the parent stood at EUR 1.4 billion, up 37%, representing EUR 3.37 per share. Turning to Page 10 on revenue. H1 revenue slightly exceeded EUR 13 billion, representing a solid 19% organic growth, which is in line with our full year outlook. This is an incremental EUR 1 billion revenue per quarter despite fewer-than-expected OE deliveries in propulsion and equipment. OE was up 16% organic mainly driven by Equipment and Defense and Aircraft Interiors. Service activities were up 22%, with consistent growth across all our businesses. Also, the net impact in revenue is not material. Change in scope reflects the M&A activity with the divestment of noncore cabin activities and a couple of bolt-on acquisitions in aircraft equipment. Turning to Page 11. Operating profit grew by more than EUR 0.5 billion to reach nearly EUR 2 billion. EBIT has risen at twice the rate of revenues, leading to a 2.3 points improvement in margin, reaching 15.1% of sales. I'll come back to the main drivers by divisions in the next slide. I can here mention the efforts made by the teams to properly control overhead expenses, and we continue to increase investments in R&D to get prepared for future market opportunities. Moving now to performance by division and starting with Aerospace Propulsion. Revenue was EUR 6.5 billion, up 14% organic, almost no growth in OE revenues. We've delivered fewer LEAP engines than initially expected with a substantial drop in Q2. On the other hand, engine deliveries have increased on wide-body and helicopter platforms. Services revenue grew by 23%, primarily driven by a 30% increase in civil aftermarket. Again, this good performance has almost no EBIT impact. Let me provide some colors on the underlying trends. As you know, civil aftermarket reflects revenue trends in spare parts and services. So the performance in CFM56 spare part sales came in line with expectations. Volume was good. We benefited from a price increase and scope of work remains stable. The main reason for the good performance again as in Q1 fully relates to service contracts. We had stronger growth than expected in our LTSA contracts, but this comes with no profit, and we are today raising our full year assumption to reflect that. EBIT margin came close to 20%, a strong improvement from last year. On a full year basis, we expect to be at 20% plus. Slide 13 on Equipment and Defense. Sales of EUR 5.2 billion, up 23%. On the OE side, we did enjoy strong growth compared to a soft H1 '23. Of interest, I would mention a one-off item in Nacelles, the certification of the Gulfstream 700 led to recognized revenues for all Nacelles delivered since 2023. Once again, the carbon brake activity came strong, in line with the air traffic trends and defense enjoyed significant growth with the strong deliveries of guidance systems and optronics equipment. Services revenue grew by 18%. Recurring operating income at EUR 657 million, up 35% and operating margin of 12.7%, up by 1.3 points. Same drivers as for revenues, on a full year basis, we still expect about 1 point of margin improvement year-over-year. Last on Aircraft Interiors, sales of EUR 1.4 billion, up 27% organic an impressive growth rate, but we are still 14% below 2019 revenue. I would highlight the recovery in business class seats deliveries, which is up 72% off a low base with a strong scale up in Q2. Be mindful that this is not an easy journey, still have to execute a strong step-up in deliveries in H2. Cabin activities enjoy solid growth as well, both OE, aftermarket and retrofit activities. We reached an important milestone in the turnaround of this business. Profitability has finally been restored. Again, the work is not over, and we will continue our efforts to reach a decent level of margin in the coming years. The weak point today remains the excessive cash consumption resulting from engineering expenses and unfavorable effects of working capital requirements, and we are obviously working on that. Free cash flow is another positive news in this H1 report, we generated EUR 1.5 billion of cash in the context of inventory buildup due to the lower deliveries and supply chain constraints. EBITDA grew by more than EUR 0.5 billion, replicating the EBIT performance and cash CapEx was up by EUR 150 million to further grow our industrial capacity in MRO and production. I'll update now on share repurchase programs and liability management. In H1, we did repurchase 2.9 million of shares for a total amount of EUR 560 million. We have now completed the hedging of the potential dilution of the 2028 convertible bonds. We have launched the first range of the EUR 1 billion program for share cancellation, which we did announce in July '23 and which will be carried out across '24 and '25. We also repaid with cash on hand 2 tranches of debt maturing in 2024, $505 million of USPP notes issued in 2012 and EUR 200 million EuroPP issued in 2014. And we also proceeded with the early redemption of 2027 convertible bonds. In that respect, Safran delivered 9.3 million existing treasury shares to bondholders who preferably exercise their conversion rights and paid back in cash EUR 20 million. This soft call has a net debt positive impact of EUR 961 million and no dilution impact on existing shareholders. Last on Slide 17. We ended the first semester with a net cash position of nearly EUR 900 million. Free cash flow was primarily used to pay dividends, EUR 2.2 per share and repurchase shares. The M&A activity led to a cash out of EUR 171 million. Going forward in the year, we will execute on the share buyback plan about half of the EUR 1 billion plan. And given the context of the Collins actuation and flight control acquisition, I would now expect the transaction to close more likely in 2025 rather than 2024. Olivier, back to you.
Olivier Andriès: So today, we posted a strong print for H1, but we need to be mindful of further risk down the road, notably on cash, while we navigate in a challenging supply chain environment and softer demand weighting on inventories and advanced payments. We need to adjust our underlying assumptions to our guidance, LEAP engine deliveries should now be flat to up 5% this year. We do our best to meet customer commitments and work to unlocking supply chain constraints. Our civil aftermarket revenue assumption is revised upwards to mid-20s growth, reflecting stronger growth in LEAP LTSA contracts. And all in all, we do reaffirm our full year guidance, and we feel confident in our ability to deliver. Thank you for your attention, and now Pascal and I will be pleased to answer your questions.
Operator: [Operator Instructions] We'll now take our first question, which is from the line of Ian Douglas-Pennant from UBS.
Ian Douglas-Pennant: So the first -- I guess, 2 questions on the same theme, which is trying to assess your vision of what happens in the second half of this year. Could you help us understand when equipment is tracking well, Interiors you've returned to profitability and civil aftermarket services is growing strong, why is there no revision to your guidance? Maybe you could give some more detail there, especially, I guess, I'm thinking on cash flow in particular. And then secondly, you made some interesting comments, a comment just now around demand softening in the second half. Maybe you could expand on that. Particularly, I wonder whether you're referring to the series of airline profit warnings we've seen, what does that mean for your ability to continue to price, I guess, from here?
Pascal Bantegnie: Ian. On your first question and the reason why we do not revise upwards our guidance, as we say, we are highly confident that we will meet our numbers this year. It shows that we have a strong print for H1. Now looking forward to H2, we are expecting to deliver much more LEAP engines in the second half compared to the first half. As you know, this comes with a slight loss. We might decide to allocate some spare engines towards install engines to support Airbus for -- during the H2. And we are also expecting less OE growth, not only in propulsion, but also in equipment and interior versus the initial guidance. So all in all, we feel comfortable to reach our EBIT guidance this year, but we are mindful of some moving parts in H2. With respect to cash, our ability to deliver will depend on the deliveries that we will have in H2 because we have built a lot of inventories that we need to deplete in the second half. And depending on how many engines or equipment we'll deliver, it could have an impact as well on advanced payments. So it's only a question of timing to receive these advanced payments, but all in all, again, we reiterate and reaffirm our guidance.
Olivier Andriès: Ian, your question relating to demand softening, Well, we -- I have to say the CFM56 aftermarket demand is dynamic, is very dynamic. So we don't see the demand for CFM56 spares in the aftermarket softening in H2 and probably in 2025 as well. You know the global situation. The ramp-up of the new generation aircraft is not as strong as planned. Therefore, most airlines basically are reluctant now to retire older generation aircraft-s. The storage of the CFM56 powered fleet is at a record low level. It is lower level -- it is now today a level that is even lower than pre-crisis. So it's -- we are about at 6% of storage. Retirements have been very low. We are less than 70 aircraft has been retired in H1 2024, which is even a lower level than in 2023. So you see basically airlines are fully focusing on flying more intensively the previous generation aircraft because basically, they are stalling from new gen aircraft today. This is the situation. So the demand for CFM56 spare parts will continue to be dynamic. I'd like also to insist on what Pascal mentioned. On new LEAP engine deliveries, we have to serve 2 type of customers, airframers and the airlines. And you have to take every week allocation decision. But obviously, as basically our LEAP engine deliveries have dropped in Q2. And as we are impacting, especially Airbus we basically -- we will take decision of allocation, which are going to be more biased with Airbus than airlines but we have to sell both. But obviously, we need to manage that very carefully.
Ian Douglas-Pennant: Sorry, I thought I was picking up on a comment that you made around demand rather than trying to push something on my side, but maybe you're referring to the demand from the OEMs. Anyway, thank you very much.
Operator: Now we'll now take our next question. This is from George Zhao from Bernstein.
George Zhao: First question for the second straight quarter you had unexpectedly high contribution of LEAP RPFH cost and revenue. I mean what's driving this? Is it pull forward or higher levels of shop visits that you didn't expect? And second question, coming back to cash again related to the timing of advanced payments, assuming this is all related to lower LEAP delivery guidance versus your expected at the start of the year. I think that's a shortfall of over 300 engines from the '25 initial outlook. I guess how much advanced payments would you have expected from those 300 engines you would have expected for this year?
Pascal Bantegnie: George. On your first question, there is a higher contribution of LEAP RPFH services on the revenue side. As we already discussed at the end of April when we disclose our Q1 numbers, it reflects a lower-than-expected time on wing on some engines, meaning slightly more cost coming to us. And as you know, we do recognize revenues as per the cost incurred. All in all, by construction, the way we account is no profit on this RPFH contracts, so I would say whatever the growth rate is, it has no impact on EBIT. By the way, we may change in the future our civil aftermarket index to better reflect what is the trend for spare part sales, which highly contribute to our margin and what is coming from the service RPFH LEAP contract for you, the analyst community to better understand what are the underlying trends to give you the numbers. So we may do that for 2025, not now. So what I can tell you is that on spare parts, we are perfectly in line with our initial expectations. Now we see more revenues coming from services, but it means higher costs on LEAP RPFH contracts. On cash, we have 2 kind of advanced payments, one is related to the Rafale export programs. And there is one advanced payment that we are expecting in H2, which may fall in 2025. So it's obviously not lost, but it's a phasing issue. And the second risk we have is on the LEAP-1B, we do receive advanced payments depending on the production rates of Boeing. Today, the production rates are well below what one could expect. So it could have an impact of a couple of hundred million euros this year. So we'll try to manage to offset that, but this is a risk we have.
Operator: We'll take our next question. This is from Robert Stallard from Vertical Research.
Robert Stallard: Olivier, maybe start with you. I wonder if you could comment on why you're so confident in your ability to deliver significantly more LEAP engines in the second half of this year. Given the problems that you experienced in the second quarter? And then maybe one for Pascal. You noted that you finished the first half with a EUR 900 million cash balance. What do you see as your optimal cash level going forward and also your optimal net debt leverage?
Olivier Andriès: So as you've seen, we've we had a significant drop of LEAP engine deliveries in Q2 versus Q1 and versus what we've delivered last year. In Q2, we have delivered 297, so a little bit less than 300 engines to our airframer customers and airlines. Whilst in Q1, we had delivered 367 LEAP engines. So all in all, in H1, we have delivered 664 LEAP engine deliveries. Why is it? We've been hit by a significant drop of output in high-pressure turbine blades in Q2. So the HP cores have been pacing the LEAP engine deliveries. And within the HP core, the HP turbine blades have been pacing the whole deliveries of LEAP engines. There has been a significant drop of yield at the HPT blade supplier. So it has been a yield drop issue which have surprised us. And basically this drop of yield has persisted in April and May is slightly recovering now, which makes us hopeful that, yes, indeed, we'll be able to ramp up our production in H2. But I have to say that the yield of our blade supplier has not yet reached its nominal level. So in H2, we have to deliver between 900 and 1,000 LEAP engines. So you see it's a significant step up versus H1. But basically, it's much less than what we had anticipated at the beginning of this year. So this is all driven, this is all going to be driven by the pace of recovery of the HP core, meaning the pace of recovery of the HPT blade, HP turbine blades.
Pascal Bantegnie: Robert, on your question on net cash. If I refer to Slide 17, you'll see that we ended the semester at plus EUR 900 million, which I would say is all attributable to the one-off that we had on the soft call of the 2027 convertible bonds, okay? So it's a good level. If I look to H2 -- we should generate about EUR 1.5 billion of free cash to match the EUR 3 billion free cash flow guidance for the full year. I would expect EUR 500 million of cash consumption for the share buyback. We have to pay for the provisions acquisition, EUR 220 million. And then as I said earlier, I don't yet know if the Collins acquisition will be closed this year or next year. I would say more likely next year. But let's assume it's this year, it will definitely bring back Safran to a slight net debt position instead of a net cash position. But it all depends the timing of Collins. So the, I would say, target leverage we have is from 0 to 1x EBITDA. So today, we are slightly better than that given share buyback programs, ongoing M&A, I think we should be back to that range.
Operator: We'll take our next question. This is from Olivier Brochet from Redburn Atlantic.
Olivier Brochet: First one is the double parter on shop visits. The first bit on the LEAP. Did you have any positive or negative surprises in the shop visits that you've done in the first half? And the second on CFM. Do you see a change in content recently with airlines, maybe elevating life of their engines. And the second question is on the holding, it moved to a profit. Can you just share a bit of color on why and whether this is recurring in H2 or in 2025?
Olivier Andriès: Olivier, I will take your first question relating to shop visits. So on LEAP, as Pascal has mentioned and this is what is driving, let's say, the higher revenues on LEAP services, basically, there has been more events than what we expected at the beginning of this year on LEAP. So more engines to be basically refurbished because of time on wing in harsh environment. And for any -- for each of those events, the amount of work has been higher than what we expected as well. So basically, it means more cost. And as Pascal has mentioned, more revenues at no profit. This is for LEAP, and this is what happened. So the -- yes, the rate of events on LEAP is -- has been -- has continued basically to be strong in Q2, same way as in Q1. On CFM56, we are in line with what we expected for the year. So today, we are aligned. The amount of work has not changed compared to 2023. So we still have, let's say, a nice work scope, which is typically a full scope mostly, not only with the core, but also with the turbine, the LP turbine. So basically, we are in line. We benefit from the pricing escalation that we had decided mid-last year as forecast. And there has been almost no erosion related to used parts just because as there is a very low level of aircraft retirement, there is no feeding for the used part market today. And so no erosion of, let's say, the revenues per shop visit because of used parts, almost no erosion.
Pascal Bantegnie: Olivier. Indeed, we have a slight positive EBIT in holding. It all relates to intra-group services, which are reinvoiced to the 3 divisions. In fact, it relates to the cost of the long-term incentive plans, which have been reevaluated according to the share price, which is now slightly above EUR 200. At the end of June, we have simply reinvoiced from holding to the 3 divisions, the cost of this long-term incentive plan. So it has no impact on the full year basis. It's purely a timing issue.
Operator: We'll move to our next question. This is from Chloe Lemarie from Jefferies.
Chloe Lemarie: I have another one on the seasonal aftermarket, if I may. Just wanted to check that the change in the guide from around 20% to 25% was strictly driven by the retail CSAs and the -- essentially the higher level of shop visit there or if there were also something else. The second one is on equipment. So the margin expansion in H1 was slightly ahead of the 100 bps you had indicated for the year. Should we assume this is phasing? Or have you seen some elements which boost your confidence in maybe a slightly higher year-on-year increase in margin?
Pascal Bantegnie: You're right on your first question. The change in guide in civil aftermarket is all attributable to the LEAP LTSA, okay? Again, no impact on profit.
Olivier Andriès: On equipment, Chloe, there has been a very strong dynamic on equipment. And as you rightly say, we are basically in H1 above our expectation for the full year. We've enjoyed a strong dynamic in some services activities such as carbon brakes. This is also a reflection of the dynamism of the market overall and the airline demand. So carbon brakes has enjoyed a very strong dynamic. And also some Nacelle services as well. And I would say, I'm hopeful that we'll do slightly better than what we have guided for in -- for equipment, so slightly better than 1 point. But this will depend basically whether the dynamic we've seen in H1 will continue in H2, especially on carbon brakes. So hopefully that we will do -- hopeful that we will do slightly better than 1 -- for equipment.
Operator: We'll now take our next question. This is from Ben Heelan from Bank of America.
Benjamin Heelan: Yes. Olivier and Pascal. I had a few on LEAP and the aftermarket. So clearly, the LEAP shop visits are higher volume or coming through in higher volume than you'd anticipated. From memory, when you talked in the past about recognizing the profitability of those shop visits is 0, it was for the first 1,000 shop visits from memory. So just wondering if you can kind of if you can confirm that? And I guess we're not that far away from you actually starting to think about recognizing profitability on those LEAP shop visits. We know what your partner is saying around that. So I'm keen to understand what you think the underlying margins of the shop visits on the LEAP are today and how you see that progressing? That would be the first one?
Pascal Bantegnie: Ben. Yes, we do see a slightly more shop visits today or what we call quick turns on LEAP. As you rightly said, we wanted on our side to wait for about 1,000 shop visits to be performed before we start to recognize profit. This will be the key theme of the Capital Markets Day on the 5 of December this year to discuss how we will recognize profit moving forward from 2026. We won't discuss the level of margin we have in our book. But once again, we have a book of nearly 60 LTSA contracts on LEAP. We are managing carefully that margin at completion of our portfolio in order to book new contracts at higher margins, restructure existing contracts in order to continue improving that margin that will be released over time, but over the next 10, 15 years because these are long-term contracts, but it will -- the central theme for the Capital Market Day.
Benjamin Heelan: Okay. Okay, fine. And then my second question is around the other elements of aftermarket. You said were broadly kind of in line with your expectations. In terms of the wide-body demand and the spares, are you able to give us a bit of color in terms of what the growth was in those 2 areas of aftermarket? .
Pascal Bantegnie: We had higher growth in wide-body spare parts than we had on CFM56. So right, this dynamic is good. And the GE90, for example, other GE engines for the wide-body platform. So the demand is there and the trend is good on spare parts.
Olivier Andriès: Yes. Very strong dynamic on the GE90.
Pascal Bantegnie: Yes.
Olivier Andriès: And also a good dynamic interestingly on the GP7000 as the A380 fleet is flying intensively at Emirates.
Benjamin Heelan: Okay. Okay. And then final one on LEAP as well. How -- I think you made some comments, Olivier to maybe the media earlier about supply chain snags lasting into 2025. Just keen to understand, have you signed a purchase order with Airbus now around LEAP-1A for 2025? And how should we -- very early, I recognize that, but how should we be thinking about growth of LEAP into 2025 from here? .
Olivier Andriès: No. We have had a constructive discussion with Airbus on basically the way forward. And we have an agreement in principle on volumes for 2025. So the purchase orders basically are going to come accordingly, but you have an agreement in principle for 2025.
Benjamin Heelan: Okay. And any early comments on the growth we could see?
Pascal Bantegnie: It's too early, Ben. We have [Technical Difficulty] in H2. We delivered 754 engines in H1. If you look to our guidance for the full year, it means about 900 to 1,000 engines in H2, which is [ not even ] 50% step-up in H2 compared to H1. So first, we need to deliver that before we can put the number on the table for 2025.
Olivier Andriès: We will respectfully leave it to Airbus and Boeing to communicate on their numbers for 2025.
Benjamin Heelan: Yes. Okay. Very clear -- it was worth a try. Thank you.
Operator: Your next question is from the line of Sam Burgess from Citi.
Samuel Burgess: Just one quick question on Equipment and Defense actually. So some might find it surprising that OE volumes on the civil equipment side are quite so strong given the slowdown in aircraft deliveries. Given the strength of H1, should we expect to see maybe some slowdown in customer destocking going forward? That's the first question. And the second question, are there any specific bottlenecks in either equipment or interiors where you're seeing real supply chain flags or other challenges predominantly around engines?
Pascal Bantegnie: On your first question, I would say that the lead times of equipment we delivered on the A320neo or 737 MAX are quite different and not comparable to the lead time we have on engines. So this is why you don't see the same timing or phasing of deliveries within propulsion and equipment. So moving forward, as we say, I don't know if there is any slowdown, but there is a risk of slowdown depending on the inventory that is sitting at the airframer place.
Olivier Andriès: Typically, for those equipment where we've been on time well in advance, basically where there is a significant buffer and with at Airbus or at Boeing, but at Airbus, let's say. Of course, you'll understand that for inventory management, they will try to soften out their demand vis-a-vis us. So this is typically the example of nacelle for Airbus, we have been well on time, 100% on-time delivery well in advance. And therefore, basically, there is a softening of the demand just for that reason, inventory management at the airframer side, which is well understood. Now are there any other, let's say, identified bottlenecks. Well, we've already mentioned what happened on LEAP. I will not come back on that. HPT blades, they are still overriding supply chain issues all over the place. So basically, it's an everyday fight for our teams. We have doubled our supplier performance managers. So we have a team of 300 people now basically that we have dedicated to follow and help our suppliers improve their performance. So there are some missing parts here and there, but it's quite -- how could I say, quite all over the place, and we fight every day. Now we've been -- I mean, we've been hit on landing gear, especially for the A330. We've been on time on the A320. We've been on time on the A350 even despite a strike in one of our facility in Canada in Montreal where basically impacted the Airbus was on the A330 in H1. But basically now we are at full speed. And hopefully, this is behind us now. But it's an everyday fight. On cabin items and seats, we know from the Airframers that they are impacted by all suppliers on cabin and PACs and seats. We have indeed been a few days or weeks late here and there. But basically, we are now in full speed to ramp up our production in H2 versus H1 as we did in H1 versus 2023.
Operator: Your next question is from the line of Christophe Menard from Deutsche Bank.
Christophe Menard: I had 3 quick ones. The first one on Equipment and Defense just to continue on the group profitability you've shown. You mentioned carbon brakes. That's my understanding at least. What are the other moving parts? I mean defense is probably one of the moving parts in H1. Will it continue in H2? You mentioned nacelles for Gulfstream, I guess it was also recognized with some profit. So just that first question. The second question is, can you comment on the turnaround times on LEAP. I understand they have declined versus 2023. Will they continue to decline in your opinion, considering supply chain issues. . And the last question, I think, Pascal you mentioned cash consumption for aircraft interiors. What -- when do you expect that cash assumption to stop, so to say, or to become a cash generation? And what would be a good normative cash conversion level for that activity when things get better, one day, much better?
Olivier Andriès: Christophe, yes, there is a number of, as you say, moving parts in Equipment and Defense. And yes, indeed, we see a very strong dynamic there, and this is why we are -- basically, we enjoy a nice improvement in the margin. Defense is extremely dynamic, very strong growth on defense. On guidance system, optronics, the demand is very strong. So I think Pascal I'm turning to you, but on the -- just on the defense, I think we have a nice organic growth here there.
Pascal Bantegnie: Yes. Very good growth, yes, in defense indeed, in guidance systems, optronics.
Olivier Andriès: Well, so this is defense. Now the entire equipment branch is enjoying a strong aftermarket. I mentioned carbon brakes. Nacelle, this is mainly relating to the A320neo nacelle. So there is a strong demand there for parts and repairs. I could also mention Aerosystem with slides. There is a very strong demand for evacuation slides and oxygen system. So it's all over the place and landing gear parts as well here as well there is a strong demand. On TAT, we are still in a phase where basically we -- there is an overall shortage of capacity for the maintenance. And so the LEAP engines have to wait some weeks before being inserted in the shop. So the turnaround time basically is a reflection of that. We are on a decreasing trend, but we are still far from where we should be. And so the numbers on TAT are basically 3 digits, and so -- which is not satisfactory yet. But we are in a decreasing trend. As we built up capacity and as our partner is building up capacity as well. And as also, we have signed agreement with a third-party shop for which we have granted a license. So all in all, the capacity is increasing. As we have already mentioned, I think we have decided on our side to invest $1 billion to increase our maintenance and repair and overall capacity in the world. And I understand our partner has basically taken the same kind of decision.
Pascal Bantegnie: Christophe, on interiors First, as we said, we did put an end to the losses in H1. So we are EBIT breakeven in H1 2024. Our target is to be EBIT breakeven for the full year. So I guess we are on track with that objective. And going forward, we would expect to achieve a decent level of margin in these businesses. In H1, we did improve the cash burn by about EUR 60 million, but it's still a negative number of EUR 135 million of cash being burned in H1. So it's not satisfactory. I've mentioned before that we are expecting to be cash breakeven in 2025. It's still a challenging target. But if we were -- if we will be able to deliver our late backlog, we will deplete inventory, and we should be able to achieve that target. Looking forward, I would expect like in any other businesses to have a cash or EBIT to cash conversion rate of nearly 70%. There is no reason why we should not be at par compared to propulsion and equipment.
Operator: We'll take our next question. This is from the line of David Perry from JPMorgan.
David Perry: So I just want to dig a bit deeper on some LEAP issues, if I may. First on OE. I'm just a bit surprised by how quickly the delivery guidance changed over the course of the year. So I just want to ask you a couple of things, so I understand it better. Why did the yield fall at this supplier and what have they done to fix it? And also, what are the lead times on these HPT blades because it seems to have been an incredibly abrupt change in your delivery expectations. So I just would like to understand that a bit better. And then a question on the LEAP aftermarket, Pascal. I'm just trying to make the math work because it seems like all of the increase in the aftermarket guidance is LEAP and yet it's quite a small base number. So can I just throw some numbers at you and maybe you'll tell me if they're crazy or not. But is LEAP aftermarket going from something like $400 in '23 -- $400 million to, say, EUR 800 million in '24, so are you doubling. Is that the kind of magnitude or am I just way off on that?
Olivier Andriès: David, I will take the OE side of your question. Yes, you're right. We have significantly changed our delivery guidance for LEAP since the start of this year. The first change occurred in April after our Q1 communication, and this was really the consequence of, let's say, the Boeing situation following the Alaska incident, as you know. Boeing had to completely change their production plan for the 737 MAX this year and next year. So this was basically -- the first change was mainly reflecting the Boeing situation when we basically came down to the 10% to 15% range in April. And now the new change is basically a reflection of the HPT blade situation, which is pacing, as I mentioned, the HP core delivery to our assembly line and therefore, the engine deliveries to Airbus and Boeing. Boeing is not so much impacted this year because we have an inventory of engines sitting at Boeing. So they are not impacted this year, but it is impacting Airbus. And yes, it has been a very surprising situation from the HPT blade supplier, the casting supplier, where we discovered that the yield has dropped significantly in Q2 in April and May. So now we see a recovery path for the yield coming from this blade casting supplier. And this is what is driving our guidance today. But once again, basically ability to meet this ramp up in H2, getting to 900 to 1,000 LEAP deliveries is going to be dependent on the yield recovery from this blade casting supplier.
David Perry: Sorry, can I just follow up. I'm sorry to be a nuisance. I'm just trying to understand the mechanism, like what is the lead time like it seems to me given how quickly the guidance changed, that you must be getting these blades on a very short lead time, almost in real time. which surprised me a bit. I just thought you'd be getting the blades in many, many months before an engine is assembled. So I'm just trying to understand the kind of visibility and the level of confidence about the turnaround? Because obviously, it's been a big change. I'm sorry to labor the point.
Olivier Andriès: Well, David, I understand your question, but I mean the, I know the lead time for our, let's say, our all models, I have less knowledge about the lead time leading to the HP core deliveries. So I can answer you what are the lead times on the fan or the low-pressure turbines, but I don't -- I can't answer on the HP core.
David Perry: Okay. Sorry to be so persistent, but it's important.
Pascal Bantegnie: David, on the second part of your question and the LEAP LTSA. So as you rightly said, the revenue base is small compared to what we have on spare parts, which are all embedded into the civil aftermarket revenue guidance. But if I was to put some color on the growth rate, it was way above 50% revenue growth in H1 compared to H1 '23. So it's material growth from a low base, obviously, but it's a material growth. On a full year basis, I would expect again to strongly beat the initial expectation in terms of growth rate. That's coming from a low revenue base. And I won't comment on what the revenue base in dollars is, obviously. Maybe we'll take the last question. .
Olivier Andriès: Very last question.
Operator: In fact, there are no further questions. So I will hand the conference back to the speakers.
Olivier Andriès: So thank you for your attention. Thank you, and have a nice summer. I hope you will have some days off, and see you soon.